Peter Herweck: Thank you very much, Emily. Good morning everyone and thank you very much for joining us for the AVEVA's First Half '22 Results Call. I'm Peter Horwich AVEVA's CEO. Moving on to over disclaimer and agenda, really pleased that AVEVA had a real solid first half year this year. I'm going to present the results to you, as you would imagine on a pro forma basis, including both AVEVA and OSIsoft also in the prior year. This makes it of course easier to understand the trading performance, the underlying performance of our business versus the statutory results were increases are affected, of course by the inclusion of OSIsoft in the current year, but not the comparative period last year. So on the spaces and adjusting for currency translations, which is important, we grew revenue by a solid 9%. Also, on this basis, we had really good growth and adjusted EBIT with an increase of 34%. In addition to a solid financial performance, we also make great progress around the integration of OSIsoft, which of course, was a very big acquisition. And of course, in positioning AVEVA to capitalize on the strong secular growth opportunities that we see and that we had talked about also, before. So let me explain to you why we're so excited about AVEVA's growth outlook. Really three points from my perspective. Number one, the work that we've set in motion around the OSIsoft integration in H1, is both going to lead to accelerate cross-selling and even more importantly, key product launches over the next couple of months are coming, I'll be talking about those later on. The second point, we're seeing big secular trends, such as the move towards sustainable energy, and the need for a better supply chain management, as you would appreciate. And of course, this included the opportunity and of AI in operations, which is now playing out. Third point is we're seeing good indicators of an improvement in market conditions, particularly in the energy market that is important for us. More about the stuff later, but let's move on to the financial review. I will be presenting the financial review today because James Kidd can't be with us today to present the slides. James is sadly on compassionate leave due to a family matter. And I'm sure you will join me in both supporting him and also respecting his privacy. Moving to the results, AVEVA achieved GBP516 million of revenue, which as I mentioned was up 9% before the impact of currency translation effects and after that impact just below 1% This was due to the strengthening of course of our reporting currency Sterling versus our main trading currency the U.S dollar, which accounted for nearly 70% of our H1 revenues. The adjusted EBIT increased by over 20% and 34% in constant currency terms, giving a strong uplift in margin. While this is very positive, H1 margins can of course be a little bit volatile due to the lower H1 revenue weighting. So, it is the full year margin that we see as being more indicative of sustained progression that we see. We saw double-digit increase in adjusted EPS driven by the EBIT growth and something to be watched out for. Finally, we increased the interim dividend by 4.8% with GBP0.13. This increase represents a balance between the underlying growth achieved and the more modest growth consideration of considering the currency translation. Now moving on, let's take a look at how the revenue growth was built up. I don't want to spend too long on this slide as you can study it for yourself, but the key things to point out are really three here. Number one, the heritage OSIsoft business, which we now call the PI System business internally was the largest contributor to growth in absolute terms driven by a very good 15% increase in its revenue. Second point is the AVEVA business was very solid and indeed strengthened into Q2, but delivered less growth with 6% increase in revenue. And the third point is the currency translation reduced reported revenue growth by over GBP40 million, so you can see the impact versus what it would have been if rates had remained unchanged versus the prior period. Now, let's take a look at the income statement. There are a few additional points worth bringing out here. The growth in adjusted EBIT margin results from limited increase in both cost of sale and operating expenses on a currency neutral basis. Both decreased on a reported basis with a currency translation reducing costs in the same way that it reduced revenue. The gearing continued further down the P&L with a reduction in interest on a pro forma basis. This was primarily due to reduced LIBOR rates, as you would understand of course. And the pro forma tax remained at a very low 5%. This low tax rate reflects two factors. The benefit of the U.K and U.S tax incentives for intellectual property and also the tech step up relating to the acquisition of OSIsoft as we have indicated earlier. All these factors resulted in a solid 13% growth in adjusted EPS. Moving on to look at revenue by fee type, which is always interesting. As you can see on the slide, we achieved good growth in subscription revenue. This was driven by growth at the heritage AVEVA business, as the transition into a recurring revenue model continued and organic constant currency basis subscription was up 15%. So we also saw growth in perpetual licenses and you will appreciate that given the growth of the OSIsoft business which represented an increase of 17.6% on an organic constant currency basis. Now this was driven by strong growth from the heritage OSIsoft business, as I said, which had not yet moved to subscription offer in the first half. Maintenance revenue increased 2.5%. This reflects a decrease at the heritage AVEVA, as more revenue moved to subscription. So this was slightly more than offset by growth at OSIsoft. And services showed a moderate increase in line with our focus on higher margin service revenue so -- software revenue, so this journey continues. Now, let's take a look at the annualized recurring revenue ARR. For the combined group, it increased 9.2% on a constant currency basis. This growth was driven by the heritage AVEVA business which increased ARR by 10.5%, as it continued its journey towards increased levels of subscription as you will appreciate. Now OSIsoft increased ARR by 6.8%. This reflects, of course, the fact that it was selling primarily on the perpetual license model during the period. ARR will benefit from the introduction of subscription offers at OSIsoft and greater cloud sales. Moving on to look at cost, overall adjusted costs increased by 2.7% on a currency neutral basis. Overall, this increase was a little held back by the strength of the labor market, which means that it did take a little bit longer to fill some of the vacancies as the group grows. Within the cost lens, there are a couple of additional points worth commenting on and start off with the R&D costs which actually showed a slight decrease. This is largely due to an increase in employment costs being more than offset by some other efficiency savings on other lines, such as consultancy, and IT in this line of R&D. Meanwhile, the admin costs were up significantly. This was due to planned investments in support functions and IT as we're bringing the two businesses together. Finally, in the finance section, let's take a look at the balance sheet. And there are a couple of moving parts and that increased during the period. This was a result of us paying out cash related to the acquisition of OSIsoft. As we noted in the full year results and FX movements on our dollar, the nominated debt as well as the normal first half cash outflows that you know already that we have around for the payment of the full year dividend and payment of bonus and commission costs, of course, also incurred in the prior financial year. Now let's move on to the operational review of the business. And I'd like to give you as a reminder, the slide that we presented at the Capital Market Day back in July, where we outlined our 5-year targets, just as a reminder. So let's take a look at how we're progressing against these targets. And let me start off with revenue. The revenue growth was broadly in line at 9% on a constant currency basis. In terms of revenue mix, while we saw a slight decline in recurring revenue percentage as I mentioned, outlined, this is not a cause of concern for us, because it represents the half year ahead of PI System having a broad subscription offer in place, very, very soon. Adjusted EBIT improved significantly all though, again, I said it earlier, this is the first half year period and it will be the progress across the next full years that is important. Now on a headline basis, we didn't have a good cash performance in the first half. However, this was driven by predominant [ph] deal related costs. So it's not indicative of the underlying performance of the business for the or the full trajectory as we're moving forward. And none of those should be coming as a surprise to those of you who follow us closely. On an operational basis, I'm very pleased that OSIsoft integration is fully on track and we have launched our first sustainability report as separate sustainability report in just a couple of weeks back. So now let's take a look at the integration of AVEVA and OSIsoft, which is, of course, closely followed by everybody. I can say the integration has progressed very well. Organization model has been established and leadership roles determined and we are well on track to achieve both cost and revenue synergies in line with the acquisition model. So progress towards achieving cost synergies includes of course, the establishment of plans for removing duplications in facilities marketing and IT. All the cost synergies have been sized and have target delivery dates established to them. And we expect that most of the facility duplication will be removed by the end of the current fiscal year. So we're progressing very well. Work towards achieving revenue synergy is also very well established. The sales operating model has been determined and incentives have been put in place to drive product portfolio cross-selling. Now the first synergetic sales contracts have been closed in the first half through the cross-sell within the different AVEVA groups that we've brought together. The AVEVA partner channel and also by Schneider Electric. Now, and excitingly, work on the product portfolio roadmap to achieve interoperability or what I called in the past native integration of some of our application -- applications to add greater value to the customers is going really well. Good progress has been made, for example in integrating AVEVA Data Hub and the AVEVA Connect or Cloud Platform. Other major product integrations are underway including integrating AVEVA's Unified Operation Center and AVEVA Advanced Analytics with the PI System. And those will be launched in calendar year 2022. That brings me to the AVEVA PI World event, which we hosted in October, our first combined event for the AVEVA and PI System communities. It was a real great success with more than 10,000 registrants from 70 countries, 75 customer presentations across 12 industries, really customers talking to customers a very great event. The AVEVA Data Hub was one of the main products launched and presented at the event. It will allow our customers to access the industrial data sharing capabilities of OSIsoft cloud using AVEVA Connect. As part of an extensive cloud track, we also talked about AVEVA Data Hub and inside this is our analytics platform whereby we will be providing a cloud based advanced visualization tools fully integrated into the AVEVA Data Hub. And we launched industrial intelligence as a service whereby AVEVA is opening up its data and services for third parties to develop their own applications. Quite a few new things are presented there. Before we get to the review of the individual businesses, there's one more topic that I would like to discuss. And this is the, of course, the topic of our ESG agenda here at AVEVA. 2021 is a key milestone for the climate action agenda and global sustainability more broadly. We're deeply committed to bring -- to being part of the solution to an environmentally sustainable world. This vision directs the approach we take from within our own operations and all the way through the software we develop to support our clients. We're pleased to affirm our commitment to achieving net zero emissions across all operations. So Scope 1 and 2 by 2030, and achieve net zero emissions across our value chain, so Scope1, 2, and 3 no later than 2050 to set reduction targets across all Scopes, in line with a 1.5 degree centigrade emission scenarios. We published our first standalone sustainability report last month, which set out our ESG priorities and highlight key activities in 2021 across our operational footprint, our technology handprint and also very importantly, our inclusive culture. We also launched our first firm wide DE&I, Diversity, Equity and Inclusion Policy, and in particular, our pledge to drive greater representation of women in AVEVA's workforce and achieve greater gender pay parity. We've also increased the gender diversity of our executive leadership team and the Board, respectively. Now, following the acquisition of OSIsoft and AVEVA, we've been organized, we've been organizing ourselves into two main businesses, the engineering business and the operations business as we've introduced at the Capital Markets Day. Let me quickly review these businesses. Engineering is contributing roughly 30% of pro forma revenue in the period on an organic constant currency basis. This revenue increased by 6.2%. We saw good demand for energy information management, simulation in learning and value chain optimization, in particular. End market conditions started to improve during the period following the pandemic. AVEVA's EPC customers began to recover as both a net zero project and an improving general pipeline for Greenfield asset construction projects started to build. We've mentioned this at our Capital Markets Day already and have a clearer site right now. We also saw the beginning of the recovery in, as I said, the energy and marine sector as energy prices recovered and demand for transportation increased. For example, with order wins with International Maritime industries and Sinopec Engineering. Our AVEVA's owner-operator customers continue to drive the digital twin strategies, deploying the Engineering Information Management Portfolio, with new customer wins at PTT and a leading semiconductor chip manufacturer, where we see further investment to come. At AVEVA, we understand that our solutions hold great potential to drive industry toward a more sustainable future. Owner-operators continue to use our value chain optimization portfolio to drive carbon emission reduction programs across their integrated assets. Some of new customer wins include Indian oil and LyondellBasell. I will comment on some a little bit later. Demand from the Chemicals market also grew with customers and driving their circular economy agendas. Key wins came from Dupont and Beijing Petro Chemicals. Now let's move on to the operations business, which contributed roughly 70% of pro forma revenue in the period. On an organic constant currency basis, revenue increased a bit more than 10%. End market conditions also here improved versus the previous fiscal year allowing for the resumption of structural growth driven by increased digitalization across a wide range of industry sectors, with notable wins in Power, Mining, Consumer Packaged Goods and Energy. Now the Asset Performance Management delivered a very strong performance, with growth in Energy and Utilities. For example, we achieved a very significant competitive order in Asset Performance Management with Saudi Aramco, which is very significant. Monitoring & Control delivered good performance, while continuing the transition to a subscription based recurring revenue model. Again, AVEVA saw good wins in Energy and the infrastructure sectors. In Information Management, so the OSIsoft business or the PI business performed strongly and continued to win significantly new business, for example, in the Mining market with Vale, a pretty large deal here. In operations as a whole, we won great deals with many global leaders such as AngloAmerican, Aramco, Almarai, American Sugar and Nippon Steel, just to name a few. Let me quickly share a couple of exciting examples in more detail, underlying our progress of the strategy, meaning for net new before I come to the outlook. In the interest of time, I won't talk in detail through these case studies here in the result pack. But I believe please do take a closer look in your spare time because some of those are very significant in our journey to further grow AVEVA. Let me start off here on the on the page with a great win in China. And this was with CNCEC Hualu New Materials. So it's a case study, which is an early PI System synergy deal through Schneider Electric sales channel where we train more than 300 sales people of Schneider Electric only in China. And here is the first win. Hualu is a leading new material company in China focusing on silicon-based nano aerogel composite. They really needed to separate a data sources and complex data flows to be brought together to optimize production efficiency. We're able to supply them with an integrated data management platform with the PI System. Now let's look at the benchmark APM deal. AVEVA was chosen by Aramco to supply our AI driven predictive and prescriptive analytics to predict failures. This is a significant win because it will lead to one of the early scale deployments of APM technology by one of the world's leading companies in the energy market with a significant amount of assets as you can see. Moving on with to Schlumberger. Here we have an example of the largest Unified Operations Center deal that we've done in the partnership with Schlumberger to advance their digital solutions. It will give thousands of users virtual access to unified operation and engineering data. And the Unified Operations Center provides the ability to quickly connect multiple systems and visualize them in this case for the energy industry, streamlining how energy operations acquire, process and action field data for enhanced efficiency and performance. I mentioned that the outlook for Marine was improving too. And here is a good case study. IMI is the largest ship builder and repair yard in the Middle East. And we were already supplying IMI with the design software and have recently extended the relationship to include our production and asset information management software with a pretty nice expansion here. And then here's a good example of a large win with OSIsoft in the first half year. The mining group Vale is using the PI System to bring together data from mine to port across iron ore pellets magnesia, nickel, copper, cobalt and gold operations worldwide, all centralized at Vale's Industrial Operation Center So quite a nice enterprise deal that we have here. Last but not least, I have Indian Oil here. It's quite significant. I mentioned it earlier that there is a growing demand for supply chain management software. And here we have an example of the largest contract today that AVEVA has achieved in this area, in this case is the supply to Indian oil. Now, in conclusion, I want to say moving to the summary in outlook, AVEVA delivered solid first half year results, and at the same time making excellent progress towards underpinning future growth. I'm very excited about what we will be able to achieve over the next 5 years and we remain on track to meet our Capital Markets Day targets that we've laid out. In the short-term, we expect growth to continue in the second half of the fiscal year on an organic constant currency basis, supported by a good contract pipeline and improving market conditions as economies recover from the crisis. Thank you very much to all for listening in. Let's move on to the Q&A. Emily, if you could guide us.
Operator: Thanks, Peter. Our first question today comes from George Webb from Morgan Stanley. George, your line is open.
George Webb: Good morning, Peter. And please pass our best wishes on to James. I have a couple of questions to start off with. Firstly, just thinking about the second half, we obviously have sights often AVEVA part to think about, but also quite different comparison basis between the third and fourth quarters as well as some kind of sensitivities around contract renewal timings, OSI subscription shifts starting. Is there any kind of particular shape to growth you expect from the second half or factors that we should be thinking about? And then secondly, just on the hiring environment, you mentioned some deferred hiring. What are you seeing at the moment in terms of your ability to hire and can you give us a sense of how much or not of a pain point that is as you think about forward growth? Thank you.
Peter Herweck: Well, thanks very much, George and thoughts here in regards to James. Now, if we think about the second half, I think we said we have a solid pipeline in front of us. We have good visibility on some larger contracts and as in the past there are a lot of moving parts in that regard. The -- and I would say the weighted average rate of AVEVA's trading currencies will also play a role in this regard. But we're confident that we have a solid growth in H2. Now, if talking about the market, we've been able to hire I think AVEVA is an attractive employer. And -- but we also know that in the tech market there is a little bit of a higher fluctuation at the moment than we've seen during the COVID period. That's what everybody needs to deal with. But I'm confident with the attractiveness that we have, we can fulfill our hiring plans to support the growth target that we have.
George Webb: Perfect, thank you.
Operator: Our next question comes from Stacy Pollard from JPMorgan. Stacy, your line is open.
Stacy Pollard: Thanks. Just a little bit of a follow-up on a George's questions too. Just the solid growth you expected in H2, do you think that's going to be similar in terms of the mix between the AVEVA heritage and OSI heritage like the 6%, 15%? Or was there some shift to subscription component going on or something that we need to think about, as we go into second half as you introduce more subscription offerings FOR OSIsoft? So that was one. And then the second one around the hiring environment. Maybe to the H1 margin was a little bit higher than we had expected. And I was wondering if some of that was due to the maybe slower hiring. So to what degree would you expect that to continue into the second half? And then sorry, third question, just on cash flow. Negative in the first half, impacted by some exceptionals, I guess in OSIsoft payments. You did talk about improvement in H2, but just are there any other exceptionals or acquisition related impacts that we should consider?
Peter Herweck: Thanks very much, Stacy. Let me take them one by one. And on the mix side, as I carefully phrased earlier, there are subscription offers available as of October 1 for the PI System. So -- and we have some larger renewals coming up and some of them may move to SaaS. So there are quite a few moving parts to it. So one really needs to look at H2 in total with it. Where, as we said, we're confident on our pipeline in that regard, right. On the margin aside, I would, as I carefully said H1 is not really indicative for the full year, while we are confident on what we have said before in that regard, some of the being below cost has effects of not hiring as quickly as we sometimes would have wished to and that probably also carries forward throughout the full year. So from that perspective, where I think you're on the good side, while of course growth remains our priority and with that also R&D remains our priority in sales, and we're on a good track in filling the positions. On the cash flow, maybe since there are a couple of topics that are not clear to everybody. Let me maybe go a little bit into more detail in relation to the OSIsoft acquisition. We paid out GBP65 million in transaction cost and made further GBP41 million payments to historic tax liability. That was of course all adjusted for in the purchase price, but have cash implications to it. For the second half, we expect the charges to be roughly in the neighborhood of GBP30 million, if you will. Hope that gave you some color to the questions you had, Stacy.
Stacy Pollard: Thank you. Yes.
Operator: Our next question comes from Frederick [indiscernible] from Bank of America. Frederick, please go ahead.
Unidentified Analyst: Hi. Good morning, Peter. Two questions on my side. First of all on the move to subscriptions, which again you mentioned some contracts while you're discussing. So if you can give us a sense of what you’re seeing SaaS traction with existing and new customers. And at this stage what’s your visibility on what impact it can have on growth in H2, but also in 2023. And to come back on the discussion around growth in H2, we had 9% in H1, but again base in last year which was quite negative in the legacy AVEVA base. So looking at H2 where the base is much higher. Just interesting to see what will drive this much stronger combined growth, if you want looking at the total accumulated performance when I look at this year, but also with the comparable base last year. Thank you.
Peter Herweck: On the subscription side of the business, were as I said, have a couple larger contracts that are coming in, where we have a combination of the complete portfolio that we will move into subscription for clients. And I think one of the underlying performance factors that we'll need to watch on much closer as we move forward is ARR. And it will give you some good outline on where we want to go. Impacts on some of those contracts are factored into what we see for H2 to a large extent. So you shouldn't expect here large movements in one or the other direction. We have a good pipeline of contracts. And we see, of course, also an overall strengthening in demand that will support the business towards the end of the year. And as I said, pipeline is strong, so I wouldn't be totally worried about this one. In addition to that, I outlined in the presentation, just one synergy deal in more detail that we had, because people told us when we acquired OSIsoft that it will take 18-month to train some of the sales people, while -- here you have Schneider being able to sell the PI System in a fairly short period of time. And as I said they're synergy deals, not only through Schneider, but also the AVEVA distributor landscape that have put the first deals on and Chemical customer in Germany where we've combined a portfolio. And something in the pipeline that unfortunately the POS slipped a little bit into this quarter. So I cannot talk about this yet, but we're also moving into advanced pattern recognition with some additional portfolio. But we're quite confident on the cross-sell that also gives us incremental views to H2.
Unidentified Analyst: Okay. Thank you, Peter.
Operator: Our next question comes from Mohammed Moawalla from Goldman Sachs. Mohammed, please go ahead.
Mohammed Moawalla: Yes. Thank you. Good morning, Peter. I just had a couple of questions as well. I was coming back on to the phasing of the growth. Obviously, there's quite a difference between the standalone AVEVA versus OSI that we've seen in the first. But I recall again your second half is, at least on standalone AVEVA growth is quite constant even between Q3 and Q4, but there was quite a bit of volatility last year. So I'm just curious to kind of understand for core AVEVA, on an underlying basis, given the comps, should we still see kind of a bit of a deceleration, perhaps in H2 before we get to have a more pronounced acceleration, given your comments on the end market in 2023. So it's kind of much more to the back loaded. I know you talked about some of the kind of visibility you have on the pipeline. But in terms of close rates, that seems to be the quite the variable factor. Can you help us kind of just bridge that gap as to how kind of core AVEVA converges closer to the rates of growth of OSI? And any kind of color between to the Q3, Q4 expectation, anything needs to be mindful of from a modeling standpoint would be super helpful. And my second question is just around the margins. A lot of the software companies we follow have talked about kind of a more tougher hiring environment. As you think about sort of the margin progression, I know there'll be some synergies next year. But many companies already guiding in down margins next year, given kind of that, that extra spend. What are the kind of puts and takes around the margin you see both in H2, but more importantly, as you look into next year, please? Thank you.
Peter Herweck: Thanks very much, Mohammed. The -- of course, the first time almost the same question in regards to growth. Again, I think we have a decent pipeline for Q3. And there are, of course, always some moving parts around the magnitude, timing and revenue recognition of some of the contracts. The -- I think were outlined that we manage AVEVA for the long-term value creation, rather than just meeting quarterly headlines, and we'll continue to do that. So I'm not going to commit to a quarterly growth rate at the moment, but I can tell you value pipeline is, solid cross-selling is ramping up. Some of the CapEx [indiscernible] introduced are coming back, and we're working on some large contracts that give us the confidence to reassure you, where H2 is going to -- it's going to land. In respect to the margin movement, the -- I think everybody is saying the same in regards to hiring is a little bit more difficult. There is some salary inflation to it. We are trending. We are not [indiscernible] the great resignation, we don't see that we're trending where we have trended post-COVID in respect to there are always some people that hate to see agree, but then you also have some very great hires to it. We've -- in our forecast for H2, we've factored in the respective cost inflation that comes with it. That's why I said earlier, let's not be too excited with H1 margins, while we're well on track to what we have predicted for the full year in that regard and with the margin as we've discussed in the Capital Markets Day.
Mohammed Moawalla: Great. And if I could just squeeze one more in. In terms of sort of your thinking around M&A, is the plan still undertake small bolt-ons? I know you're still kind of integrating OSI. Just curious on your thinking in terms of kind of more transformational acquisitions, is that sort of on hold for the time being or would you kind of evaluating the opportunities?
Peter Herweck: So, as we outlined before on our capital allocation strategy number, number one is we want to pay back some progressive dividend. As we've shown also with the interim, we will continue to do collaborations and small bolt-ons [technical difficulty] opportunities come up in the market. When the time is right, we've proven or continued to prove that also OSIsoft will be a solid integration for the shareholder benefit. And you can see this in the EPS accretion already, if you look into, we will make respective decisions.
Mohammed Moawalla: Okay, great. Thank you very much.
Operator: The next question comes from James Goodman from Barclays. James, Your line is open.
James Goodman: Yes, morning. Thank you for taking my questions. Not going to ask about the sort of quarterly outlook and appreciate that, that you'll say that we shouldn't read too much into any one quarter but at the same time, I wondered if we could look in a little bit more detail at what happened in Q2 versus Q1. And if I look at the two separate sides of the business, on heritage AVEVA, where you grew 6% but declined, I think 12% in the prior year. It looks to me like on a 2-year basis, you actually grew in Q1, but significantly declined in Q2. So I'm just wondering why you're not seeing a stronger sort of recovery growth there. And whether you just put that down to sort of timing and phasing or there's something we should think about there in the 2-years stack? And then on OSI, very strong growth at 15%. But again, it seems like the vast majority of that was in Q1, not Q2. So was there something in OSI that we should bear in mind that caused a bit of a blip in Q2? And then as a separate question, just stepping back from the overall business, can you talk about the proportion of growth at the moment in the overall businesses coming from new customers versus the install base? And maybe how that's varying, and what's factored into your plans over the coming years there? Thank you.
Peter Herweck: Thanks very much, James and very clear. The -- I think the OSIsoft business had a very strong Q1, and slowed a little bit in Q2, but still grew in Q2. There's really no phasing if you will, and of course, also people have maybe some uncertainty how they -- how the incentive structure and so forth would develop, so the pulled a little bit forward into H1 is really phasing. The AVEVA business strengthened in Q2. And with that, I would look at the performance of the business really across the first half as a whole, as there were, as usual, factors that led to some volatility in the quarterly growth rates. And of course, we've also done the calculation. So from that perspective, I think there is nothing to be concerned about in this regard. We would expect, of course, that also some of the AVEVA heritage AVEVA portfolio in the engineering was strengthened as the energy market comes back. Now, one of the things I tried to highlight in the presentation is if I'm -- if I drive the organization for growth, what's really important is net new. And if you look at net new, has two aspects, new logos, meaning new customers, and incremental product into the same client. In all the deals I've presented to you and there are, some of them are fairly large. If you look at the TCV of those contracts that I've shared earlier, be it Aramco, Indian Oil, IMI, Vale and [indiscernible] and couple more. It is very important that will drive this net new because we know what our net retention rate is with new clients and new logo. So that's where we're going and we feel quite confident. And as an example, in H1 for the PI System business 110 new customers.
James Goodman: Thank you. Could I just ask a very quick clarification that may be that I misheard or misinterpreted. But I think you said within the pipeline, there's some deals that look like they could be on-premise or subscription. And I guess from a P&L perspective that's not so important in the sense that a multiyear subscription will result in a reasonable amount of upfront recognition. But did you also say that some deals might be SaaS within that pipeline? Is there any ambiguity in the pipeline between SaaS subscription and on-premise? Or is it just purely between on-premise license and on-premise subscription? Thank you.
Peter Herweck: So, what I refer to is really what impact does it have on revenue recognition, where we just want to make sure that this is a balanced move forward as we have indicated. We will continue our path on cloud first SaaS, where we've also shown significant growth in the first half year. And we should also remember that many of our cloud offers will come in addition to what is maybe already on-prem. So there are a couple of moving parts here that one needs to look at.
James Goodman: Appreciate that. Thank you.
Operator: Our next question comes from Charlie Brennan from Jefferies. Charlie, your line is open.
Charles Brennan: Great. Thanks very much. Just a couple of questions for me as well. The first is just on the sales channel with Schneider. It looks like revenues with Schneider are down year-on-year. With the benefits of OSI coming through in the cross-sell, it feels like that go-to-market channel should be doing better. So can you shed any light on that? It would be appreciated. Then secondly, and maybe as a follow-up to James's earlier question. You've spoken about starting to move OSI onto a subscription model. Can you just articulate what subscription is going to look like for OSI? Is that going to be a traditional ratable 1-year subscription model? Or are you going to try and shift on to the heritage, 3-year subscription structure of AVEVA? And then thirdly, and I fully appreciate this isn't an optimal question for you. But obviously a very low tax charge for H1. Is there anything you can say about the likely tax rate for the full year? Thank you.
Peter Herweck: Yes, thank you very much, Charlie. So the -- on starting off with Schneider sales channel, there are always three ways we need to look at it. Whatever we sell to Schneider, we're selling through Schneider, and we're selling with Schneider. And in that regard for the full year, we see a solid growth in that regard. So I think there's nothing to be worried about in this regard there. We've reworked in H1, comprehensive OEM contract that we have with Schneider. And from that perspective, we have good confidence as we're moving forward. In regards to the tax rate, let me make sure I get this right for you. So the first half tax rate percentage is lower than the expected full year tax because while the tax deduction relating to the acquisition of OSIsoft [indiscernible] evenly over time. The first half profits are typically lower than the second half profit. So we expect the full year tax rate to be, let's say, round about 10%, maybe approaching from the south [ph]. And that you had the second one -- a third question that I missed, if you could repeat this one, just …
Charles Brennan: It was just on the subscription transition for OSI and what that looks like in practice. Is that 1-year or 3-year structures. Thank you.
Peter Herweck: Well, the idea is really to move to flex contracts, as we go-forward. From that perspective, you would see respective revenue recognition over time. As usage comes up as it's normal in these flex contracts. And the -- we will try to move as much as we can in this direction.
Charles Brennan: Perfect. Just very lastly, does that mean that you're confident that this pressure on working capital should ease now and going forward we should no longer expect a working capital outlay?
Peter Herweck: We would expect this to be flattening out where it is again, you post captured it very well. It may depend on one or the other contractor, but over time it should be flattening out.
Charles Brennan: Thank you.
Operator: We have no further questions. So I'll now hand back to Peter to conclude today's call.
Peter Herweck: Well, again, thank you very much all for spending the time with us. Again, solid first half year. We're confident on H2 The Board has the confidence in H2 and we’re well into it already with 10th of November, half of the second or the third quarter is behind us already. With that, thanks again and thanks for your trust in AVEVA and the team.